Operator: Welcome to Endeavour Mining's First Quarter 2025 Results Webcast. At this time, all participants are in a listen-only mode. After management presentation, there'll be a question-and-answer session. [Operator Instructions] Please note that due to dial conference, we'll be prioritizing questions from covering analysts. Today's conference call is being recorded, and a transcript of the call will be available on Endeavour's website tomorrow.  I would now like to hand the conference over to Endeavour's Vice President of Investor Relations, Jack Garman. Please go ahead.
Jack Garman: Hello, everyone, and welcome to Endeavour's Q1 2025 Results Webcast. Before we start, please note our usual disclaimer. On the call today, I'm joined by Ian Cockerill, Chief Executive Officer; Guy Young, Chief Financial Officer; and Djaria Traore, Executive Vice President of Operations and ESG, who's joining us from Dakar in Senegal. Today's call will follow our usual format. Ian will first go through the highlights. Guy will present the financials, and Djaria will present our operating results by mine before handing back to Ian for his closing remarks. We'll then open the line up for questions. With that, I'll hand over to Ian.
Ian Cockerill: Thank you, Jack, and hello to everyone joining us on the call today. I'm proud to say that we've delivered another strong operational and financial quarter for the first quarter of 2025, building on the momentum from the second half of last year. Our operating performance, combined with our disciplined cost management has enabled us to capitalize on the rising gold price environment and generate record free cash flow. This has enabled us to significantly strengthen our financial position, surpassing our leverage target and position the group to deliver higher shareholder returns through this particularly exciting phase. We produced 341,000 ounces of gold at an all-in sustaining cost of $1,129 per ounce in the first quarter, placing us firmly on track to achieve our full year guidance. As we move through the year, we are planning for slightly lower production in the second half, but we will focus on keeping our cost discipline and improving productivity and operational efficiencies to maintain our class-leading cost and maximize free cash flow generation. Since the end of our organic growth phase in Q3 2024, our operations have generated $775 million in free cash flow. And that represents over $795 to every single ounce that we've produced over that period. More importantly, our free cash flow generation has continued to grow in each quarter since the beginning of 2024, demonstrating the quality of our improved portfolio and the benefits of bringing low-cost production online in a rising gold price environment. As a result, we're able to reduce our net debt by $354 million, and we reduced our leverage significantly down to 0.22x net debt to adjusted EBITDA and well below our long-term target of 0.5x. We significantly strengthened our balance sheet and improved our financial flexibility, which allows us to focus on increasing shareholder returns and our longer-term organic growth pipeline. We paid record dividends for 2024 of $240 million, and total return of $277 million, equivalent to a 5.9% indicative yield, or $251 for every ounce that we produced. We expect to exceed that total returns envelope in 2025 as we seek to supplement our $225 million minimum dividend commitment with additional dividends and buybacks. And you've seen that we've already supplemented returns with $52 million of share buybacks to year-to-date already, which brings minimum commitment to 2025 already to $277 million. That's exactly what we delivered for the whole of 2024. And as such, we're clearly well positioned to deliver on an increased shareholder returns profile for the third consecutive year. While shareholder returns remain the near-term focus, we are keeping one eye on the future by enhancing our organic growth pipeline. Our tier 1 Assafou project, which will underpin our 35% production growth to 1.5 million ounces by 2030 is on track, and we're confident that our exploration program will continue to increase the endowment of this already world-class complex. We expect to provide a resource update in the second half of this year as we advance the definitive feasibility study towards completion. Finally, during Q1, we were delighted to complete the commissioning of our solar plant at Sabodala-Massawa, which will support our continued improvement in emissions intensity and importantly help reduce fuel consumption and power costs at that mining complex. As you can see from the snapshot, Endeavour has entered 2025 with a great deal of momentum, and I'm confident this will continue through the rest of the year and to the benefit of all of our stakeholders. Now, let's dive into a little bit more detail, and I think this particular slide really is a snapshot of what's happened in Endeavour over the past year or so. As we look at the operating performance on Slide 7, you can see in the first quarter of 2025, group production of 341,000 ounces was slightly lower compared to Q4 '24, but in line with our mining sequence. But importantly, it was up 122,000 ounces over the corresponding period in 2024. Despite this, we improved our all-in sustaining cost, which improved by $12 per ounce quarter-over-quarter as we improved mining, processing and capital costs across the group. With lower costs and higher realized gold price of $2,783 during the quarter, we generated a strong all-in sustaining margin of nearly 60% or translated to $1,654 for every ounce that we produced. Overall, our safety performance has remained strong with a group LTIFR of only 0.05 during the quarter. Djaria is going to touch on our safety performance in a little more detail later. And the strong first quarter performance has certainly positioned us well to achieve our full year guidance, as you can see on Slide 8. Our Q1 group production was more than 30% at the lower end of the guidance range, and our all-in sustaining cost was well below the lower end of our guidance. This operational performance translated into record quarterly free cash flow generation for the group, as you can see on this slide. We generated $409 million of free cash flow during the quarter or equivalent to $1,199 for every ounce of gold we produced, and our free cash flow margin also increased to 39%. Free cash flow has been supported by strong production, improving costs, seasonally low taxes and significantly lower capital following the completion of our growth capital phase. Over the past 3 quarters, since the end of this organic growth phase, we've increased free cash flow generation every quarter. And cumulatively, we've generated $775 million of free cash flow. That's equivalent to $795 for every ounce of gold we've produced over that period. With our major growth projects now fully ramped up and our cost base stabilized, we are focusing on maximizing the free cash flow generation for every ounce of gold we produce to capitalize on this strong gold price environment. On the next slide, I want to highlight just how strong free cash flow generation has helped improve our balance sheet this quarter. We significantly reduced our leverage from 0.55x net debt to adjusted EBITDA to just 0.22x, comfortably below our long-term target of 0.5x. And looking forward, we certainly want to maintain our leverage below 0.5, and Guy will discuss our balance sheet in a little bit more detail later as well. Given our free cash flow growth and that we have now deleveraged our financial position, we're well positioned to prioritize shareholder returns. We want to build on the record dividends of $240 million, an attractive total return of $251 for every ounce that we produced last year. We're committed to exceeding our minimum commitment of $225 million this year, and we've already completed the $52 million of buybacks. So that means a total return so far guaranteed for 2025 of $277 million. And that's -- we're well positioned now to deliver an increased envelope to our shareholders. As you can see on this chart, since we started paying shareholder returns with our first payment in Q1 2021, 4 years ago, we've returned more than $1.2 billion to our shareholders. That's equivalent to 1/3 of our market cap at the start of the program and reflects our sustained commitment to delivering shareholder returns, both through phases of growth and phases of cash flow generation, and reiterates the quality and the resilience of this business. Looking at our supplemental share buybacks in a bit more detail on this slide, you can see that we've accelerated buyback activity in Q1 by 4x that of the previous quarter. We've delivered $52 million in share buybacks through the purchase or repurchase of 2.4 million shares. As we've advanced into our cash flow phase, we still see significant valuation upside by repurchasing our own stock, and we'll be continuing to be opportunistic with buybacks and maintain flexibility to allocate supplemental cash towards buybacks or dividends, depending upon where we see the best return. To put our shareholder returns in context, it is clear that within the gold mining sector, our returns are consistently amongst the highest, both on a yield basis and a dollar per ounce basis. When we compare our shareholder return indicative yield against other sectors, it's equally attractive, and that comparison for 2024 doesn't capture the recent improvement in the gold price. While gold has performed well, generous portfolios do still remain underweight with gold equities. But we believe that consistent operating performance, disciplined capital allocation, stable and transparent returns and the sustained high gold price environment are key drivers for these investors to pivot towards gold equities. And I genuinely believe Endeavour is amongst the best positioned gold equities to capitalize on that trend. While shareholder returns continue to be the major focus, we're also progressing our longer-term organic growth to ensure that we can continue to grow production and maintain our first cost quartile position. This year, with a $75 million budget, our exploration program is focused on adding near mine resources across the portfolio to improve optionality at each of our mines. At our development project, Assafou, we're expanding resources as well as delineating new resources at the surrounding satellite deposits. We're also building out our early-stage exploration pipeline with our Greenfield and New Ventures program to ensure that we have visibility of future organic growth beyond Assafou. On the next slide, nothing better exemplifies Endeavour's ability to unlock value through the drill bit than the Assafou project. This Tier 1 project is advancing on track, and we're excited with the progress we're seeing on the exploration front. We are continuing to drill at this deposit to further delineate the known mineralization and extend that mineralization, both along strike and at depth. We're also drilling nearby satellite targets, notably Pala, which is only about 1 kilometer west of Assafou. We expect to increase the Assafou endowment in a resource update in the second half of this year that will incorporate up to 190,000 meters of additional drilling over and above the existing resource. Last year, we signed a joint venture agreement with Koulou Gold, who have an option to earn up to a 90% interest in the Assuéfry permit, which is due east of Assafou. Assuéfry shares a similar structural and geological setting to Assafou, with gold-in-soil anomalies highlighting multiple prospective structural contacts that are yet to be extensively explored. We're excited by this potential to further expand the endowment of the Assafou complex, potentially advancing it into a truly world-class system. For Assafou, we're on track to deliver the DFS by late '25, going possibly even into early '26 and could start construction in the latter half of '26, permits -- permitting with first production expected in the second half of '28. On the next slide, we're certainly's building on our strong ESG performance in 2024, and we've kicked off 2025 with a continued focus on delivering tangible outcomes across all pillars of sustainability. We remain committed to producing gold responsibly and sustainably so we can create meaningful value for all of our stakeholders. Building on our first quartile emissions performance in '24, we're targeting an even lower emissions intensity in '25 as we continue to implement our decarbonization road map, which will be supported by the introduction of a solar plant at Sabodala-Massawa. On the social side for '25, we continue to strengthen our commitment to local content. Although we're already spending about 80% of our annual procurement budget in country, which over the past 2 years equates to approximately $3.6 billion, there's more that we can do, particularly for those smaller suppliers around our mine sites. We recently launched the local content accelerator, which is a key initiative led by Endeavour to boost the local economic ecosystems around our mines. With regards to local talent management, we're strengthening our West African leadership teams by building succession programs and developing female talent. And we look forward to providing more detail on these initiatives towards the year-end. In terms of health and safety, we're really pleased with our current performance, and we set robust targets for 2025, linked to group-wide compensation to ensure that we maintain a safe workplace for all of our employees. And with that, let me hand you over to Guy, who will walk you through these financial results in detail. Guy, over to you.
Guy Young: Thanks, Ian. Hi, everyone. I'll now walk you through our financial results for the quarter. As Ian mentioned, we finished 2024 with a strong performance, both operationally and financially. That momentum has continued into the first quarter of 2025, with strong production and improved costs, which coupled with a higher gold price, has underpinned record margins, EBITDA and free cash flow generation. In Q1, our adjusted EBITDA grew 12% quarter-over-quarter to $613 million. Free cash flow grew 53% to $409 million, and all profitability and cash flow metrics were materially improved. Whilst our peers are likely also seeing some improvement in profitability due to the strong gold price, we believe that our transition from a phase of growth to a phase of free cash flow generation has us very well positioned to take advantage of the current gold price environment and maximize free cash flow generation for our shareholders. We will achieve this by delivering against our operational guidance, maintaining our class-leading costs and our capital discipline. If we turn to Slide 19, you can see the pleasing improvement in our nominal EBITDA generation as well as EBITDA margin over the last 3 quarters. In Q1, we achieved a new record adjusted EBITDA, increasing 12% quarter-over-quarter. This was driven by the support of gold price as well as continued cost discipline as cash costs and all-in sustaining costs both improved. Turning to our operating cash flow on Slide 20. We delivered another quarterly record for the group. We generated $494 million in operating cash flow, an increase of 30% over Q4. This continued growth reflects the benefits of our fully ramped up projects, additional production at low cost as well as higher realized gold prices. Looking ahead, as we've already highlighted, we expect production to be slightly first half weighted this year, resulting in slightly higher costs through the remainder of the year. In addition, as I outlined in our full year results, we expect to pay significantly higher cash taxes in Q2 and Q3 as detailed in our tax guidance due to the timing of income tax payments in each of the jurisdictions and the timing of withholding tax payments associated with cash upstreaming in the middle of the year. On Slide 21, and looking at the quarter-over-quarter change in our operating cash flow in a little bit more detail. The average realized gold price for continuing operations rose by $193 per ounce to $2,783 per ounce, inclusive of losses realized on hedges and our LBMA averaging strategy under the revenue protection program. Gold sales volumes were slightly lower quarter-over-quarter, decreasing by 3,000 ounces to 353,000 ounces. However, this was more than offset by lower cash operating expenses and the effect of the $150 million pre-payment, which was settled in the prior period. Income taxes paid increased by $22 million to $39 million this quarter due to the timing of tax payments, predominantly at Sabodala-Massawa. Finally, we had a larger working capital outflow this quarter. This is driven by a catch-up in supplier payables, invoiced late last year, an inventory outflow related to an increase in gold-in-circuit and stockpile builds at Houndé and Ity. And a smaller receivables outflow related to the buildup in VAT receivables in Burkina Faso. We expect that supplier payments and inventories will start to normalize over the remaining quarters, and we continue to look at ways of recovering a greater proportion of our VAT receivables in Burkina. So we expect the changes in the working capital to be smaller in the coming quarters. On Slide 22 and our free cash flow, as mentioned, Q1 marked the fourth consecutive quarter of free cash flow growth, continuing the momentum we've generated following the completion of our growth phase. In Q1, free cash flow increased by $141 million or 53% over Q4. This step change was underpinned by the strong production, low operating capital costs, high realized gold prices and seasonally lower taxes. This level of free cash flow has further strengthened our balance sheet and supports our ongoing priority to return capital to shareholders. In terms of our change in net debt, Ian highlighted the rapid deleveraging following our growth phase. On Slide 23, you can see the Q1 improvement in our leverage from 0.55x to 0.22x, as our net debt decreased by $354 million to $378 million at the end of Q1. The largest driver of this deleveraging was obviously our strong operating cash flow. Investing activities included $56 million in sustaining capital, $38 million in non-sustaining capital and $6 million in growth capital, which was partially offset by a one-off $17 million inflow related to the release of restricted cash at Ity. On the financing side, we purchased $40 million in shares through the buyback program with the remainder related to debt drawdown and lease and finance fees. We also recognized a $10 million foreign exchange gain on cash balances during the quarter as the dollar weakened compared to the euro. We will look to maintain our leverage below our 0.5x target for now. Being below our midterm leverage target ahead of the potential build allows us to increase shareholder returns through supplemental dividends and share buybacks while continuing to fund our longer-term organic growth pipeline. On Slide 24, earnings per share increased by from $0.45 to $0.90. In summary, the growth in net and adjusted net earnings has come from the improved gross earnings, along with lower impairment charges this quarter compared to last, partially offset by higher realized losses on our hedges as a result of the higher gold price. With that, I'd like to hand over to Djaria, who will provide a more detailed review of our operating performance. Djaria?
Djaria Traore: Thank you, Guy, and hello to everyone from the office. As always, I would like to start with our continued strong safety performance. Our group's lost time injury frequency rate has decreased to just 0.05, which is well below the industry average, as Ian mentioned earlier. Safety remains, of course, our top priority. And this year, we will be concentrating on behavioral-based safety training as well as safety leadership training to reinforce again our strong safety culture. Looking at portfolio performance, starting from Slide 27, I am pleased to report that we're off to a really strong start for 2025. Production of 341,000 ounces in the first quarter was slightly better than planned and represent over 30% of the lower end of our 2025 guidance range. This, of course, puts us firmly on track to meet our full year production guidance range. Our all-in sustaining costs improved due to the strong production and even stronger gold sales, coupled with cost improvement across Houndé, Ity as well as Sabodala-Massawa. During quarter 1, the production was stronger than expected at Houndé, as we have prioritized the high-grade ore from the Kari Pump deposit ahead of the wet season. But as we move through the year, we expect progressively lower grades at Houndé and slightly lower grade at Ity and Sabodala-Massawa. As a result, we expect the group production to be weighted towards the first half of the year with slightly lower production and higher costs in the later half. Now turning to mine-by-mine performance, and I will start with Sabodala-Massawa on Slide 28. I am pleased with the progressive bottom line improvement that we've seen from Sabodala-Massawa since the startup of the BIOX plant in quarter 3 of 2024. We've had a strong start to 2025 with the quarter 1 production coming in slightly higher than quarter 4 '24, which is driven by increased throughput and higher recovery rate at both the CIL and BIOX plant, which was partially offset by slightly lower average grades. But most importantly, the recovery rate in both plants increased significantly over quarter 4 2024. All-in sustaining costs decreased quarter-over-quarter due to improved load and haul efficiency and increased gold sales. At the CIL plant, we now have greater availability of high-quality non-refractory ores, following our extensive grade control drilling effort that we started since last year, which is giving us more optionality in mining and processing, then ensuring grades and recovery remain in line with the expectations. At the BIOX plant, mining has advanced into largely fresh ore in the Massawa Central Zone, which is the main source of refractory ore, and we are currently feeding over 80% fresh ore into the BIOX plant. The flotation performance has significantly improved because of this higher fresh ore feed, driving higher overall recoveries. We expect this trend of increasing the BIOX recovery to continue improving as we move towards a higher proportion of fresh ore in the feed. We are also advancing our three optimization initiatives at Sabodala-Massawa that we expect to support performance improvement as well as production growth from the second half of this year. As I detailed in our full year results, we are also looking to optimize and increase the throughput in the BIOX plant to advance exploration for higher-grade non-refractory deposit for the CIL plant as well as to accelerate the underground expansion to provide higher grade non-refractory ores in the coming years. We expect to provide an update on the ongoing technical review with our quarter 2 results. And now looking ahead to the rest of this year, we expect an improvement in the BIOX recoveries and throughput, but really on overall throughput and recovery should be largely stable. The grades are expected to decrease slightly due to lower grade ore blend expected through the CIL plant. Even so, we believe that Sabodala remains on track to achieve its annual production and all-in sustaining cost guidance. Let's now turn to Houndé mine on Slide 29. Houndé has another very strong quarter as we continue to prioritize the high-grade ore from the Kari Pump pit ahead of the wet season. All-in sustaining costs have also improved, driven by operational excellence initiatives to optimize drill and blast efficiency and increase mining fleet productivity. As we advance through the year, we expect grades to decrease, which will be slightly offset by higher recovery as mining activity move away from the Kari Pump pit and more into the lower grade of Kari West, Vindaloo Main and Vindaloo North pits. Houndé is well positioned to achieve its full year guidance, having already produced 40% of the lower end of the production guidance range, and all-in sustaining costs are substantially below the lower end of the cost range. With regards to exploration, the program remains focused on delineating near-mine resources at the Vindaloo Deeps, Kari Deeps and Marzipan targets. And the ongoing drilling program at the Vindaloo Deeps deposit is designed to confirm the potential for a large high-grade underground resource. Turning to Ity on Slide 30. In the first quarter of 2025, the production has remained consistent with the prior quarter in '24 with all-in sustaining costs improved due to an increase in gold sales. This was a catch-up in sales from the prior quarter due to the timing of shipments. But as we progress through the year, we will decrease the mining of high-grade ore at the Le Plaque and Ity pits, though we expect this to be partially offset by higher recoveries as the ore blend changes, as per the mining sequence. Longer term, we were pleased with the full year reserve update at Ity, which has increased reserves by 50%, adding another 1.2 million ounces. And following this update, we see scope for Ity to maintain an annual production profile above 300,000 ounces over the longer term. But most importantly, we continue to see opportunities for further resource growth on the wider Ity trend, which remains largely under explored. Moving to the Mana mine on Slide 31. The production increased for the quarter compared to quarter 4 2024, driven by higher average grade processed. All-in sustaining costs increased this quarter, primarily due to higher royalty payments linked to the improved gold price, increased sustaining capital development and elevated mining and processing unit costs. But looking forward, Mana is tracking well towards its full year guidance, and we expect grades to be slightly lower from the second quarter, but stable throughput and recovery rate throughout the year. Importantly, at Mana, we have now achieved commercial stopping production across all three of the underground stopes in the Wona deposit, namely Wona, Danguna and [indiscernible]. And we are now focused on ramping up the stoping tonnage to sustain access to a higher grade to feed the plant. And on the exploration side, we also continue to work on delineating the deeper resources at the Wona deposit in order to support resource addition and conversion into reserves over the coming years. This is expected to support a longer mine life visibility at Mana. Now turning to our fifth and newest mine, Lafigué on Slide 32. In quarter 1, production decreased compared to quarter 4 2024 as we have processed lower average grades in line with the mine sequence. All-in sustaining costs increased, which was driven by lower gold sales and higher processing costs which were associated with scheduled maintenance activities. But looking ahead through the year, throughput and recovery rates at Lafigué are expected to remain stable, at slightly lower grade as the main source of ore moves to the Eastern flank of the Main pit. We have brought in additional mining contractors to help with grade control drilling and increase mining volume, as we also look at initiatives to drive higher levels of throughput in the plant. But at the same time, our exploration program is targeting near mine opportunities that could provide some satellite oxide ore feed, which increased operating flexibility over the coming years. All in all, Lafigué remains firmly on track to also achieve its full year 2025 guidance. I'm now handing back to Ian for his closing remarks.
Ian Cockerill: Thanks very much, Djaria. As you can see, Endeavour is off to a really strong start in 2025, building on the momentum from last year with Q1 laying a robust foundation to deliver on our strategic priorities this year and beyond. We are well positioned to take advantage of the recent gold price strength given our size, cost profile and our track record of delivering exploration, organic growth and low-cost production. Now that we have a healthy balance sheet, we can prioritize shareholder returns in this high gold price environment and unlock more value for our shareholders. I think what is evident from this final slide is that despite the strong recent share price outperformance, Endeavour still offers a compelling valuation relative to both our gold peers and the broader market, an enviable position to be in as we start to see increased generalist interest returning to the sector. Thank you once again for joining us. We look forward to keeping you updated on our progress. And with that, I'll open up the line for any questions. Thank you.
Operator: [Operator Instructions] We are now going to proceed with our first question. And the questions come from the line of Ovais Habib from Scotiabank.
Ovais Habib: Hi, Ian and Endeavour team, really congrats on a solid Q1. Great to see this kind of free cash flow, $400 million free cash flow generated in Q1, so congrats on that. A couple of questions from me. Just starting off with Sabodala-Massawa -- you're currently conducting a technical review. Just wanted to see and kind of understand, could this review impact Sabodala's 2025 guidance? Or this is more just kind of a general kind of review for the overall mine plan? A little bit color on that would be great.
Ian Cockerill: Yes. Look, Ovais, let me answer on behalf of Djaria. The line is a little bit tricky in coming out of Senegal. The technical review is ongoing. We've already given our guidance for the year. It's too early to say whether this will increase output. You know we put out previously a kind of an extended guidance over several years. And we did say that as a result of the review, if we saw more upside, then it would be in addition to that, which we've previously disclosed. But at this stage, I think it's too early. Obviously, we're hopeful that we could improve. But irrespective of that, I think you can already see that Sabodala is motoring strongly towards achieving even the upper end of its current guidance.
Ovais Habib: Perfect. And then just again, in terms of longer term, obviously, discussions are to get Sabodala-Massawa back up to that 350,000 ounces plus. Is this coming from just purely on additional source oxides, any sort of operational improvements? Any kind of color on that would be great as well.
Ian Cockerill: Yes. Again, Ovais, the buildup to, should we call it a slightly higher but more sustainable level of performance is going to be a combination of many factors. One is general improvements in recoveries, improved throughput, the identification of better quality material as well as an increase in underground mining activity, which enables us to source higher-grade material. And obviously, for the same throughput, that gives us the advantage of more ounces. So it's not any one particular factor. It's a broad range of initiatives. And part of the technical review that we're doing is to actually help us identify what is the optimal balance of those initiatives that will give us the right sustainable blend, and that's what we're doing.
Ovais Habib: Okay. And just kind of moving on -- sorry, go ahead.
Ian Cockerill: Yes. And really, what we'll do -- we will be in a position -- at the Q2 results, we'll be in a much better position to give you a little bit more sort of granular detail. It's still a little bit too early yet.
Ovais Habib: Okay. Look forward to that. Just moving on to exploration side then. Just obviously, you've had your team -- exploration team has had great success at Assafou. Is the current focus in 2025 kind of increasing the confidence, increasing the size of Assafou? Or Ian, do you have another Assafou in your back pocket that you can start talking about?
Ian Cockerill: I wish. No, look, I mean, all along, we said that -- we believe that this is a very, very interesting piece of real estate. The focus during this phase of the DFS really is very much on firming up the initial proposed mining area to make sure that the sort of the first couple of years of our mining profile for the project will deliver what we think it's going to deliver. So there is a lot of effort that's going into that. But running in parallel with that is looking at some of the, should we call it, slightly wider exploration opportunities, including Pala. And we do believe that, that will help us ultimately grow the global resource in and around this district, whilst the DFS at the moment is really just focused on the predefined pit that you know from previous presentations that we've made. But do I believe that there is more to come from this area? Unquestionably. It's a target-rich area. And over time, obviously, we'll realize what it can deliver.
Ovais Habib: And then, Ian, just there were a couple of comments made by the Burkina Faso Prime Minister earlier this week. Any thoughts or color you can provide on the PM's comments and kind of how you're looking at Burkina Faso as a whole?
Ian Cockerill: I think in fairness, Ovais, the comments that have been made are nothing other than a regurgitation of comments that have been made previously. They're not new. They're not additional. So in many respects, there's no sort of real surprise there. This is a country that needs to get as much cash in as it can. We are supportive of the government of trying to make sure that this is a good operating environment. So the only change to the previously mentioned mining code that was published in the middle of last year is that you will recall that previously, they said that they would allow existing mining conventions to roll out before they imposed the additional 5% of free carry. What we have seen recently is suggestions that they would like to accelerate that. We've looked at that. And to be honest with you, over and above what we already know, it's inconvenient. They bought -- they're talking about this, but the actual impact is not huge. Yes, probably somewhere in the order of about 1% of group NAV would be the impact.
Ovais Habib: Okay. I appreciate that, Ian. And then that's it from me. Congrats on a solid quarter.
Ian Cockerill: Thank you, Ovais.
Operator: We are now going to proceed with our next question. The questions come from the line of Alain Gabriel from Morgan Stanley.
Alain Gabriel: I have a couple of them. The first one is on capital returns. If I take your capital returns run rate, dividends and buybacks and annualize it, I get close to $385 million for 2025, which is yielding around 6%. Your free cash flow yield is close to triple that yield at the moment, and your net debt is far below the net debt target that you have set for the group. So given the room to maneuver, is it fair to expect some upside to these run rates, i.e., an accelerated buyback or more special dividends on a go-forward basis in 2025 itself? That's the first question.
Ian Cockerill: I'll ask Guy to answer that question. Guy?
Guy Young: I think -- the structure of the question, we need to put a couple of things into perspective. You heard Ian a number of times during his presentation talking about the prioritization of shareholder returns. So I think it's important that we reemphasize that. I think I would also like to reemphasize as a management team, we like to do what we said we were going to do and that we have done. So we've seen the cash flow inflection point. We've seen the deleveraging of the balance sheet. And now we are in a position, as Ian said, to prioritize shareholder returns. I think if you look at what we've done historically and probably more importantly, from a data point perspective, what we've done year-to-date, the simple answer to your question is yes. Because if we were already returned at the end of Q1 in terms of both committed plus share buybacks of what we did during 2024, I think we are clearly trying to show that our full intention is to provide a higher degree of supplemental returns to shareholders in line with the results and the deleveraging that we're seeing. I do though come back to the point that I think I made at the last results presentation, and that is as long as we've got a supportive gold price environment, we are producing this kind of cash flow, and given now that we are in this delevered position, it would be at that point in time that we can come forward and start talking about a supplemental set of returns, which we still maintain will be a combination of increased dividends and opportunistic share buybacks. We're at 400% from a share buyback perspective of where we were last year. Indicatively, therefore, I think you can count on us ensuring that we make some superior and supplemental shareholder returns during the year.
Alain Gabriel: That's very clear. And my second question is on the VAT receivables. You've done a small impairment of the receivables in Burkina Faso during the quarter. Can you give us some color on whether there are more problematic VAT receivables across the group and how you are planning to resolve these challenges with the governments in the regions where you operate?
Guy Young: Certainly. So, Alain, it's a good point. There are kind of 2 things that have grown our VAT balances. The first, yes, is ongoing Burkina receivables and against which we've taken, as you say, a small increased provision. That increased provision is currently simply being done on a formulaic basis. So what we agreed with the Board is that we would take what we believe to be a fairly conservative position given that the counterparty is the state, but we would take a relatively conservative position and where we saw aging of VAT receivable balances going beyond a certain period, we would take a provision against those. So what's happened is during the period, we've seen some further aging, and we've done exactly the same as we did at the end of the year, applied the formulaic provision, and that's essentially what you've seen is that increase in aging. We've got a number of things that we're trying to do with Burkina Faso -- we've got a couple of things we're trying to do with Burkina Faso in order to try and get this -- the receivables in. It is a broader conversation with the state, but something that I think we'd be able to report back on with a degree of success during the year. The second element of the VAT increase is slightly easier to talk through, and that's at Lafigué. So because Lafigué is still relatively new, we've registered with the state we are a VAT entity, and it is a buildup that has taken place, and it's roughly $21 million at the end of the quarter. We haven't seen reimbursement yet, but that's fundamentally just a part of the time cycle. So that Lafigué VAT balance will inevitably come down as we move through the rest of '25.
Operator: We are now going to proceed with our next question. And the questions come from the line of Carey MacRury from Canaccord Genuity.
Carey MacRury: Congrats on the strong quarter. Maybe a couple of other questions for Guy. Obviously, your cash balance has built up a lot. Is it safe to assume or are you targeting to fully repay the credit facility this year?
Guy Young: I'm really sorry, Carey, I didn't catch the second part of that. I got the cash balance increase -- I'm sorry?
Carey MacRury: Yes. Just wondering if you're in a position to repay the credit facility. I wonder if that's something you're targeting to do this year and what the cost of your credit facility is, if you can remind us?
Guy Young: Certainly. So if credit facility, if I'm talking about the same thing, are revolving credit with the syndicate banks. So yes, we have got a building cash balance, and we haven't used that to pay down, which is a valid point. We would certainly intend to do so by the end of the year. What we've got, though, is the seasonality in our cash flow and our ability to bring the cash from our onshore operating entities up to the holding company level, which frankly mirrors some of our withholding tax and tax payment seasonality that we've guided to already. So during Q2 and Q3 is when we effectively declare, have approved at a local level and then move the cash up. As soon as that cash is at a central holding company level, we will use it to pay down the RCF.
Carey MacRury: And can you remind us what the interest rate on the RCF is?
Guy Young: We're roughly running on general because it slightly depends on our gearing level, but we're running at around 7%.
Carey MacRury: Okay. And then in terms of tax -- I mean, that's a good segue to my next question. I appreciate the annual tax guidance. But given your comments around Q2, Q3, I just wondering if you can give us a bit of clarity on what we should expect for Q2 in particular, like a range or what percentage of the annual should be coming through Q2?
Guy Young: So, Carey, if I go back probably just to the guidance I offered at the year-end results because they haven't fundamentally changed. So we're expecting to pay a cash tax of around $350 million to $450 million this year. And of that, about $80 million to $90 million is going to be withholding taxes. And of the total, around 55% is going to be in Q2. So it is a very significant proportion, obviously, of our total tax, all payable in Q2, which gives me the opportunity of reinforcing something I said in the slides, but if you'll bear with me, our Q2 cash flows are going to be significantly impacted by this. If you multiply out those percentages, and you think about some of the other things that are going to be calling on us in Q2, I just want to make sure that everyone understands our Q2 cash flow is going to be very different to Q1, predominantly driven by the cash tax payments that we're discussing now.
Carey MacRury: Great. That's very helpful. And then maybe one question for Djaria, if I can. Just on Houndé, you mentioned the grades declining. Just wondering if you can give us some sense of what grade we should be expecting in Q2 and then for the second half?
Djaria Traore: Thank you, Carey. Obviously, as I mentioned during the presentation earlier, we have accelerated the mining of Kari Pump pit, where we've always seen historically high grade. So we are mining that pit out before the wet season. And then we're moving more towards the Kari West, Vindaloo Main and Vindaloo North, whereby we have an average lower grade than Kari pit that we've been seeing so far. So that's really where we're seeing that lower grade. Similarly, at Sabodala-Massawa, I think we mentioned that earlier, but this is all part of our budget mining sequences. So though we're seeing a slightly lower average grade towards quarter 2, quarter 3, it is no way impacting the production profile that we have. And all sites still, again, are on track to achieve the full year production. And what we've seen as well -- though we've seen that slightly lower average grade, we've seen higher recovery as well, so one after the other.
Carey MacRury: So in terms of the grade, any color you can give us on what we should be modeling for Q2 in particular?
Djaria Traore: I don't think it will significantly change from what we've been communicating. If we looked at Lafigué, we might be talking about 1.6. Sabodala, it would not have changed. What we're seeing at Sabodala is definitely more into the recovery, whereby especially for the BIOX, we're seeing the lower 70, and we'll be expecting more into the high 70 more towards the end of the year. But average across all the sites, again, is slightly below what we've seen in quarter 1, but it's not impacting anything.
Operator: We are now going to proceed with our next question. And the questions come from the line of Jason Fairclough from Bank of America.
Jason Fairclough: Again, nice quarter. I really like your relative valuation charts on Slide 13 and Slide 35. So the shares look extremely cheap on all these metrics despite the gushing free cash flow, good growth and actually pretty reasonable operational execution lately. So I guess my question is, why do you think that the shares are so cheap? And if part of the question is investor angst on West Africa, any thoughts on why headwinds facing your local peers shouldn't matter as much to you?
Ian Cockerill: Jason, thank you for the advert. The check is in the post. Look, yes, I think it is fair to say that last year, we could justify because of the, call it, the upheaval that took place, particularly at the beginning of '24. I think it was understandable, people sort of stepped back and said, "Okay, fine, get the ship settled. Let's see what you can do, then we'll sort of come back in again." What we have been seeing, I think it's fair to say over the last 3 to 4 months is a growing confidence that Endeavour's performance is starting to get back to where people would expect it to be. Confidence is growing in the stock. And certainly, over the last month or so, we're seeing us close the gap in terms of relative valuation with regard to our peers. I think that -- and the fact that we now have several quarters where strong cash flow, you've seen from Q1 '24, every single quarter, the free cash flow has grown. We've seen the impact of our initiatives that we've put in place. Importantly, despite the fact that the gold price has gone up, we have not allowed any complacency to set into the group. We're making sure that we'll remain resilient, that our cost profile remains low. And shareholders will genuinely see the benefits of an expanding margin, which is perhaps not some of the characteristics that people have seen in previous sort of up cycles in the gold sector in this particular industry. And we're very focused on making sure that we do that. And I think we're getting to the stage now where people are beginning to understand and believe in the thesis that we've put out, and we're starting to see shareholder -- positive shareholder response to that. With regards to what happens to our peers, I think it's a fair comment. I guess you're specifically referring to Burkina Faso. I would say that certainly over the last year or so, I've met with the very senior people in that part of the world. We have got a very good working relationship with the government. We have good dialogue. We've established that not just from my level, but throughout the organization and importantly, with our people on the ground. We can open up dialogue with them in private. We make comments. We have robust discussion. And in fairness, they are listening to us. Does that mean that we're immune from things that may happen to others? Not necessarily. But I do believe it gives us a chance to help influence the debate and show that we are a good corporate citizen in the country. We want to be there for the longer term. And we've shown that despite the various phases of ups and downs that have taken place in Burkina Faso, we have consistently performed well there, and we've consistently given good returns. And at the end of the day, you can't argue against returns. And people will eventually get it and understand. And if they don't like West African exposure, well, they shouldn't be in our stock anyway. But we have historically shown that we have been able to manage the exposure to West Africa and have consistently outperformed by being well positioned in that part of the world.
Jason Fairclough: Okay. Maybe just a quick follow-up, if I could. So we saw some news that AngloGold Ashanti, a company you may be aware of, was selling out of some projects in West Africa. I'm just wondering if those would be the sorts of projects that you would have done due diligence on. And again, I guess, thoughts on M&A given that you seem to be able to create value from West African assets in a way that others can't.
Ian Cockerill: I saw the release today. I have to say the impression I got that it wasn't actually a selling out of assets, it was actually an exploration asset swap where Resolute were acquiring some smaller assets in Côte d'Ivoire. And in exchange, over time, Resolute would give something over to AngloGold. And I actually think that's very healthy. Where people's relative strength -- I mean, obviously, AngloGold are very strong in Guinea through Siguiri. So it kind of makes a lot of sense that people are looking at the industrial logic of swapping assets and putting assets into the hands of potentially the better people. As far as Côte d'Ivoire is concerned, we've covered most of the country. We know what is and what isn't available. So I think you can guess from that, that we have looked at these assets. But more importantly, we've got two really good operating assets already in the country. We're going to have a third one, which is truly world-class. There's nothing in West Africa that matches up to Assafou at this stage. We've got more than enough exposure there. We wouldn't necessarily need more and certainly not something that doesn't look as if it would be a better option than what we've already got operating in that part of the world.
Jason Fairclough: Okay. Thanks a lot for the color. And we'll see you in Barcelona in a couple of weeks.
Ian Cockerill: Thank you. Looking forward to it.
Operator: We are now going to proceed with our next question. And the questions come from the line of Anita Soni from CIBC.
Anita Soni: Most of them have been asked and answered, but I wanted to follow up on royalty rates. You talked about Burkina and some of what's going on there, but I want to talk about Côte d'Ivoire. Have you had any recent conversations with the government about their royalty rates? My understanding is that they're looking at increasing the royalty above the $1,900 cap that they have.
Ian Cockerill: Yes. Anita -- I mean, regularly, governments look at what they've got. They sort of start asking the questions. There has been some suggestions from them that they would -- they entered into discussions. They'd like to see a slightly higher royalty rate. That debate and discussion has taken place at the Chamber of Mines. There's nothing definitive as yet. And until such time as there is any final conclusion, we continue to operate under the existing rules. But one has to say that the trend for taxation globally, not just here in West Africa, is going up. So it's not to be surprising. But we do have in our agreements -- we have stabilization agreements, so this would likely apply more to new operations as opposed to existing operations. But that still has to come out in the discussions. And as I say, there's nothing definitive which has come out as yet.
Anita Soni: Okay. Can you let us know what the parameters are that they did of the discussions? I mean, I was assuming that we just sort of ratchet up at the same kind of trend line as every $100 per ounce then -- as we get up to the higher levels -- or was there kind of an escalating factor in?
Ian Cockerill: So hear what I say. At the moment, there's open discussion. There's nothing definitive. It would be, I think, inappropriate to have any discussion around or speculation around what may or may not happen. Until -- once we know anything definitive, then obviously, we'll come back. At this stage, we don't have anything definitive to pass on.
Operator: We are now going to proceed with our next question. And the questions come from the line of Wayne Lam from TD Securities.
Wayne Lam: Just wondering at Sabodala, when should we expect the Main pit to be mined out and ready to deposit tailings? And then have you guys received the permitting there? And just wondering on the underground, what the permitting requirement would be there as well?
Ian Cockerill: Okay. Wayne, I'll ask Djaria to -- you picked up the question and Djaria, can you answer it, please?
Djaria Traore: Yes. Would you mind just maybe repeat again? The line was a bit unstable when you asked it.
Wayne Lam: Sure. So just two questions on Sabodala. One is, when you expect the tailings to be -- sorry, when do you expect the Main pit to be mined out and ready to deposit tailings? And on permitting, have you received the in-pit tailings deposition permit there and what the permitting would be on the underground?
Djaria Traore: Okay, thank you. So for the Main pit, of course, we're referring to Sabodala pit. As we have previously communicated, the plan is to mine Sabodala out by end of quarter 2 into quarter 3. So normally, this Main pit should be ready for receiving the deposit once we then finalize all the infrastructure construction. In terms of the permit, we are clear on that with authorities. We've received all the necessary permit that we need to receive. There's are few still discussions ongoing with -- especially with the communities. We do not foresee any obstacle there. I think this is a normal discussion that you have. So we do expect to have this last validation as well into quarter 2. We're putting a target for ourselves to have all this concluded before end of quarter 2 this year. In terms of the underground, we are progressing very well. As I mentioned earlier, we are accelerating the DFS, which is envisaged by end of this year. Again, is to really commencing the underground in end of this year into 2027 whereby we'll have a full development into 2026, sorry. And then the first ounces will be in by 2027. So we're looking at a total endowment across the two deposits of Kerekounda and Golouma to be approximately 500,000 ounces at an average grade of 5 gram. Of course, purely non-refractory fresh ore, which definitely will boost our CIL throughput as well as the production.
Wayne Lam: Okay. Great. And then maybe just for Guy. Just looking ahead to the $500 million in notes due next year, is there a significant upstreaming cash need to make that payment? And at what point would that take place? Just wondering how to think about timing of taxes for that.
Guy Young: Sure thing. Wayne, we'd look to roll over. So we're not going to be having to pull up cash to do so. Our intention would be to refinance it with a similar sized bond. The timing of which you obviously know, but October 26 is the end of our current bond. We would look to try and refinance obviously, between now and then. Ideally, we will look to get that away before it becomes less than 12 months due and falls into current. So somewhere between now and October of this year would be our ideal window.
Operator: We are now going to proceed with our next question. And the questions come from the line of William Dalby from Berenberg.
William Dalby: Congrats on great start to 2025. Just a couple from me. First for Guy on tax expense again. Just wondering if you're able to share what gold price assumption you've got factored into the upper end of that, $350 to $450 range for the year? And what impact that would be on that kind of guidance range should the gold price stay at current levels? That's the first one.
Guy Young: Sure. The tax guidance, we would split it into two importantly. So our corporate income tax, which makes up the bulk of that tax guidance is effectively fixed because we're paying last year's tax now. So the majority of that is fixed. The withholding tax may flex slightly. So we tried to build in a reasonable range from $80 to $90 to cover gold prices and some flex that we would have in terms of upstreaming. But to actually answer your question, our assumption is 2,600 gold. But we've also taken into consideration our Q1 actual realized. So we've done a forecast of cash flow on Q1 actual plus 26 for the remainder of the year and use that to estimate the dividends and ultimately the withholding tax.
William Dalby: Okay. That is helpful. And then second, just on working capital, Apologies. I didn't catch all the reasons for the working capital build for the quarter. I'm wondering if you could just quickly run through those again and then maybe steer a bit on your expectations for working cap moves for the remaining quarters.
Guy Young: Sure. So $98 million of working capital outflow roughly broken down into an accounts payable swing of $48 million. That is largely as a result of an unwind in the buildup and late invoicing at the end of 2024. So consequently, we would expect that now to be relatively stable over Q2 and Q3. And then we would expect to see a slight build again in Q4. But the $48 million negative in Q1 should not be repeating throughout the remainder of the year. The other element of the $98 million is inventory, which is roughly $44 million of that total. And there -- that inventory build was made up predominantly of GIC, gold-in-circuit as well as some stockpile build predominantly at Houndé, Ity and Lafigué. The GIC build is largely as a result of the level of production and performance we saw in Q1, so not necessarily a bad news story. But we should be able to start bringing that GIC overall balance down as we look through our process planning for the remainder of the year. So certainly no continued increase in outflows. And with regards to the stockpiles, this is largely us pushing mining performance ahead of the wet season, which we've mentioned during the call. So again, this should be something that could be managed down between now and year-end. The last element of the working capital is the VAT build of roughly $10 million. And the element that we are going to be able to reduce is the $21 million build at Lafigué. The more problematic one is the one that we circled back on already, which is the Burkina Faso. And there, we are looking to try and see what we can do, but that arguably would be something that might stick. Overall, our working capital outflows for Q2, 3 and 4 will be lower than they have been in Q1.
William Dalby: Very helpful, Guy. Congrats again on the great quarter.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect.